Operator: Ladies and gentleman, thank you for standing by. Welcome to the Camtek’s Third Quarter 2014 Results Conference Call. All participants are at present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. You should have all received by now the Company’s press release. If you have not received it, please contact Camtek’s investor relations team at GK Investor Relations or view it in the News section of the Company’s website, www.camtek.co.il. I would now like to hand over the call to Mr. Ehud Helft of GK Investor Relations. Mr. Helft, would you like to begin, please?
Ehud Helft: Thank you and good day to all of you. I would like to welcome all of you to Camtek’s third quarter 2014 results conference call and also would to thank Camtek’s management for hosting this call. With us on the line today are Mr. Rafi Amit, Camtek’s Chairman and CEO; and Mr. Moshe Eisenberg, Camtek's CFO. As Rafi lost his voice, he will not be providing the overview as usual. Instead, Moshe would provide the overview of Camtek’s strategy, will discuss some of the recent development and will summarize the financial results for the third quarter. We will then open the call to your questions. Before we begin, I'd like to remind our listeners that certain information provided on this call are internal company estimates, unless otherwise specified. This call also may contain forward-looking statements. These statements are only predictions and may change as time passes. Statements on this call are made as of today and the Company undertakes no obligation to update any of the forward-looking statements contained whether as a result of new information, future events, changes in expectations, or otherwise. Investors are reminded that actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for services and products, and timely development of new services and products and their adoption by the market, increased competition in the industry and price reductions, as well as due to other risks identified in the Company’s filings with the SEC. Please note that the Safe Harbor statement in today’s press release also covers the content of this conference call. In addition, during this call certain non-GAAP financial measures will be discussed. These are used by management to make specific decisions, focus future results, and evaluate the Company’s current performance. Management believes that this presentation of non-GAAP financial measures is useful to investors’ understanding and assessment of the Company’s ongoing core operations and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures is included in today’s earnings release. I would now like to hand over the call to Moshe Eisenberg, Camtek’s CFO. Moshe, go ahead, please.
Moshe Eisenberg: Thank you, Ehud. Hello to everyone and thank you for joining us. We are pleased with the results of the quarter which were inline with our expectations. Revenue came in at $22.4 million for the quarter. We reported a non-GAAP operating income of $1.1 million and non-GAAP net income of $948,000. Our operating cash flow was very strong in the quarter and we generated $4.6 million. This increases our net cash and short-term deposit level as of the end of the quarter to $24.2 million. I would like to now go into the details of each of our two main markets. The semiconductor inspection and metrology business continues to be solid and we are seeing growth in several market segments and territories. We are getting repeat orders to support our customers' new production line extension and technology challenges. And in addition, we continue to gain momentum with new strategic customers' winning head to head evaluations. Our semiconductor inspection and metrology systems have gained market recognition as leading product in both bump inspection and bump metrology. We achieved qualifications and received orders from certain leading semiconductor manufacturers, some of which we had not significantly penetrated in the past. These are large vendors that are getting ready to ramp up with the new manufacturing facilities and their capabilities. As the demand for their product will pick up, we see potential for getting multiple orders which we believe will increase our revenue from this market. Eagle, our new generation semiconductor inspection and meteorology system, was launched a few months ago. Initial systems have already been installed in running production and we expect to continue this product ramp during Q4 and into 2015. We believe this product strongly expands our total addressable market in both 2D inspection and 3D meteorology. We believe that the fast growing advanced packaging market, which is expected to grow in excess of 20% annually, will be heavily reliant on advanced inspection and metrology in order to achieve the affordability and reliability required for its commercial success. In the PCB inspection market, our overall market position remains strong and our Phoenix platform continue to be perceived as the leading inspection tool in the industry. We are progressing with the commercialization process of Gryphon, our 3D functional inkjet technology product for PCB solder applications. We recently opened a demonstration center in California, South of Los Angeles where potential customer can evaluate the product, supporting our efforts to capitalize on the industry interest we are seeing in this product. Our two better sites are almost complete, one of the sites is running production loads. In the second site the machine is running qualification loads for end customers. The more we ran the machine in the production environment as well as meeting with potential customers, the more confident we become in our belief that inkjet technology for solder mask will be the dominant technology in the PCB industry for years to come. We remain on track and expect initial commercial Gryphon installations at customers to begin in the fourth quarter with revenue expected in 2015. We intend to leverage our existing installed based and marketing channels worldwide to sell this product. As we have said before, we expect that the same cycle and penetration process would be gradual as we are introducing a new and revolutionary solution to the marketplace. In early December, we intend to open our Gryphon demo center and demonstrate the Gryphon in action to investors. I will provide information at the end of the call. I will now move to the financial part. Revenue in the quarter were $22.4 million, in line with our guidance, and were up 3% over those of last year. Revenues from sale and services to the semiconductor industry were $13.5 million, representing 60% of our total revenue. Sales to the PCB business for the quarter were $9 million, representing 40% of our total revenue in the quarter. The geographic split of the revenues for the quarter was as follows. China was the strongest region representing approximately 31% of overall revenues, Taiwan was 19%, Korea was 9% and rest of Asia was 19%. U.S. sales accounted for 17%. The rest of the world was the remaining 5%. I will now summarize the rest of the financial results. Unless otherwise stated, I will summarize the rest of the result on a non-GAAP basis. The reconciliation between the GAAP and non-GAAP results appear in the table at the end of the press release issued early today. Gross profit for the quarter was $10 million, representing a gross margin of 44.5%. This is compared with a gross margin of 45% in the third quarter of last year. Operating expenses in the quarter were $8.8 million. This is compared with operating expenses of $9 million in the third quarter of last year. Looking ahead, we expect a slight increase in our operating expenses in 2015 as we are currently increasing headcount primarily in preparation for initial installation of our 3D functional inkjet technology product, Gryphon towards the end of this year. Operating profit for the quarter was $1.1 million or 5.1% of revenues. This is compared with an operating income of 0.8 million or 3.8% of revenue in the third quarter of last year. Net income for the third quarter of 2014 was 0.9 million or $0.03 per share. This is compared with a net income of 0.5 million or $0.02 per share in the third quarter of last year. Net cash and cash equivalents and short-term deposits as of September 30, 2014 were 24.2 million. This is compared with $20 million as of June 30, 2014. We had a positive operating cash flow in the quarter of $4.6 million due to strong collections in the quarter. DSO are now down to 103 days. During the third quarter we also increased inventory by 2.7 million compared to the past quarter. This was primarily due to the launch of our two new products, the first being the new semiconductor system the Eagle and the second being the 3D inkjet system the Gryphon. In terms of guidance for the third quarter of 2014, we expect revenue between $20.5 million to $22.5 million. This implies revenues of $88 million to $90 million for 2014 versus $85 million for 2013. Moreover, I note that 2013 revenue included the contribution of a few million dollars of revenue from the seller business line which was significantly lower this year as a result of our strategic decision to focus on other areas. I wanted to highlight that semiconductors inspection and metrology revenues are expected to grow by approximately 20% year-over-year in 2014 compared to last year. We will now open the call for questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen, at this time we will begin with the question-and-answer session. (Operator Instructions) The first question is from Brett Piira of B. Riley. Please go ahead.
Brett Piira – B. Riley: Maybe just starting out on the semiconductor side. Can you help us out with what you expected to do within the guidance in 4Q? And then just a clarification. Did you say for the full year you expected up 20%?
Moshe Eisenberg: Typically we don't provide specific guidance by segment, by product line. So, but in general we believe that Q3 versus Q4 will remain at the same level in terms of the semiconductor business. With respect to your other question, the 20% will come mainly from bumping applications that we are seeing. In addition, as I mentioned, we penetrated into several new accounts that we were not active in the past and the contribution of the two will lead us to year-over-year increase of 20%.
Brett Piira - B. Riley: I guess just what I was getting at is if I am looking at my model right here, if we keep the revenues flat in semi in 4Q, it looks like it's only up 7% annually. Is that taking out the seller revenues in calendar '13? I'm just confused on how you're getting to that number.
Moshe Eisenberg: As I mentioned previously, in my early session, our semiconductor numbers that you see are including the seller contribution which is significantly lower this year versus last year.
Brett Piira - B. Riley: And then maybe on the Gryphon side. Can you provide us any more details on maybe the number of installations you expect in 4Q?
Moshe Eisenberg: We really expect our initial orders in the fourth quarter, it will be a small number of orders. We are talking to several customers. So I don’t have the exact number, but I can say that it will be a small number. But getting into 2015, we believe that based on the result and the acceptance of the product, we will ramp up the revenue in 2015.
Brett Piira - B. Riley: And then I guess a little bit more on the Gryphon. Can you give us any details -- these are still the low volume. Can you help us with the number of printer heads you're using and just kind of the roadmap to getting into the higher, the more volume manufacturing?
Moshe Eisenberg: The current version that we are marketing to the customers are indeed covering high mix, low volume type customers, type applications. We did not provide any exact information of number of heads in the machine, but I can definitely say that we are currently printing 18 sides – 18 panels -- one second.
Rafi Amit: In general, we can print about 30 sides per hour, but it depend on the texture of what customer wants. So it can run between 20 to 30 depending on the texture of the customer demand.
Operator: The next question is from Jay Srivatsa of Chardan Capital Markets. Please go ahead, sir.
Jay Srivatsa - Chardan Capital Markets: Moshe, on your remarks you mentioned that you've been able to penetrate some newer customers in the semiconductor systems side, but I think your guidance seems to reflect a flat quarter. Can you address when you expect some of those customers to ramp up and when you see material contribution from it?
Moshe Eisenberg: Indeed we don't -- this penetration is still not reflected in our Q3 or Q4 numbers. However, given the production plans of these large vendors, we hope to see the ramp beginning in 2015. So my current estimation is that 2015 will represent another growth year for the semiconductor business for us.
Jay Srivatsa - Chardan Capital Markets: And then turning to Gryphon, given that you're starting some modest commercial launch in Q4, what is your expectation on the number of machines you can sell next year?
Moshe Eisenberg: I would say it’s a bit too early for us to provide numbers. Based on the acceptance of the initial sales and the reception of the market, we will be able to provide a more educated numbers. At this point I don’t believe that I have enough information. I can say that there is a lot of interest in the product, but everybody is basically looking to feel, touch and feel the product and this is why we opened the demo center in [Anaheim], California. We believe that based on -- once the customers will get impressions and evaluate the system, we will have better feel on how the numbers are going to look like in 2015.
Jay Srivatsa - Chardan Capital Markets: And maybe I’ll ask a little differently. For those customers who are currently using LDI, are they sensing the value in Gryphon to the extent that they believe they will start to transition out of LDI into Gryphon next year or is that a much longer process relative to them moving over to Gryphon?
Moshe Eisenberg: Couple of comments. First, just to complement my question about number of systems next year, regardless of how many systems the demand will be, we don’t have any limitations in terms of our operations capabilities. So from that perspective I think we are very comfortable. It's one thing, The other thing regarding LDI...
Rafi Amit: I will try to explain to you LDI. Most of the application -- if we talk about [indiscernible] market, I will say that 90% or 95% of the LDI do not make any solder mask process. They make the lithography in the PCB production. So it is not I would say a competitor to our system. It's just another system doing lithography. So we don’t see any conflict with LDI right now.
Jay Srivatsa - Chardan Capital Markets: Last question in terms of CapEx, I think you mentioned you don’t expect any significant increase there. How about the sale of the ink? I mean are you looking at outside sources for the ink to support these machines or are you looking at developing it internally?
Moshe Eisenberg: We are exploring all avenues now, all the above are valid alternatives. We are considering building our own facility, but on the same time we are talking to potential partners and operation facilities to outsource the production of ink. Most of the production in 2015 will be in house. And based on the demand we will consider lately if we want to open another source ink or keep it within Camtek.
Jay Srivatsa - Chardan Capital Markets: Maybe one quick follow-up on that in terms of the manufacturing of Gryphon product itself. Are there any limitations in terms of components that might limit your ability to manufacture to demand or do you feel pretty comfortable about the supply chain that you have in place?
Moshe Eisenberg: There are several components with long lead time. However, we are working closely with this manufacturers with requisite [indiscernible] and we are providing them constant forecast such that I don’t see at this point any limitation or anything that will – any limitation related to the production capabilities.
Operator: The next question is from Krishna Shankar of Roth Capital. Please go ahead, sir.
Krishna Shankar – Roth Capital: Can you clarify that you will get production -- you’ll have production shipments for Gryphon in Q4? And how many customers do you have right now for Gryphon and will you have production revenues for the Gryphon system in Q4 this year?
Moshe Eisenberg: Maybe to clarify. We currently have two beta sites running. One of these beta sites are running production loads, meaning he runs the machine in the production environment, full production environment, the other one is running more qualification loads. So if you mention – so this is the current status. We are talking to several potential customers to install the system during the fourth quarter. However, I don’t see any revenue. I don’t expect any revenue from the Gryphon system or Gryphon ink during the fourth quarter. I expect revenue to follow in 2015.
Krishna Shankar – Roth Capital: And the semiconductor growth in 2015, will most of that be driven by TSV and bump type of inspection systems or can you sort of give some sense as to what markets help the growth in semiconductor for next year?
Moshe Eisenberg: Are you talking about 2014 or 2015? I didn’t hear, sorry.
Krishna Shankar – Roth Capital: 2015.
Moshe Eisenberg: I believe that the growth will come mainly from advanced packaging type application such as bump and TSV, fan-out, fan-in. These are the applications that are driving most of the growth in this industry and our position as a leader in 3D metrology bumping application should benefit from this position.
Operator: And now a follow-up question from Brett Piira of B. Riley. Please go ahead.
Brett Piira - B. Riley: My follow-up has been answered. Thanks, guys.
Operator: (Operator Instructions) There are no further questions at this time. Before I ask Mr. Moshe Eisenberg to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.il beginning tomorrow. Mr. Moshe Eisenberg, would you like to make your concluding statement?
Moshe Eisenberg: Before we conclude, I would like to mention that we intend to present to investors on Tuesday, December 2nd at the LD MICRO Conference in Los Angeles. The day earlier on Monday, December 1st, we will be hosting and opening our Gryphon demo center to investors to demonstrate the working product. If you are interested in attending, please contact our Investor Relations. I would like to thank you for your continued interest in our business. I look forward to talking with you again next quarter. Thank you and goodbye.
Operator: Thank you. This concludes the Camtek third quarter 2014 results conference call. Thank you for your participation. You may go ahead and disconnect.